Operator: Thank you for standing by. My name is Karen, and I will be your conference separator today. At this time, I would like to welcome everyone to the Herc Holdings Fourth Quarter and Full Year 2024 Earnings Call and webcast. [Operator Instructions] I will now turn the call over to Leslie Hunziker, the floor is yours.
Leslie Hunziker: Thank you, operator, and good morning, everyone. Welcome to Herc Rentals Fourth Quarter and Full Year 2024 Earnings Conference Call and Webcast. Earlier today, our press release and presentation slides were furnished and our 10-K was filed with the SEC. All are posted on the Events page of our IR website. Today, we're reviewing our fourth quarter and full year 2024 results to comments on operations and our financials, including our view of the industry and strategic outlook. The prepared remarks will be followed by an open Q&A. Now let's move on to our safe harbor and GAAP reconciliation on Slide 3. Today's call will include forward-looking statements. These statements are based on the environment as we see it today and therefore, involve risks and uncertainties. I would caution you that our actual results could differ materially from the forward-looking statements made on this call. You should also refer to the Risk Factors section of our annual report on Form 10-K for the year ended December 31, 2024. In addition to the financial results presented on a GAAP basis, -- we will be discussing non-GAAP information that we believe is useful in evaluating the company's operating performance. Reconciliations for these non-GAAP measures to the closest GAAP equivalent can be found in the conference call material. A replay of this call can be accessed via dial-in or through a webcast on our website. Replay instructions were included in our earnings release this morning. We have not given permission for any other recording of this call and do not approve or sanction any transcribing of the call. Finally, please mark your calendars to join our management meetings at the Barclays Industrial Conference or JPMorgan's High Yield Conference, both in Miami in February. We will also be attending the JPMorgan Industrial Conference in New York in March. We hope to see you at one of those events. This morning, I'm joined by Larry Silber, President and Chief Executive Officer; Aaron Birnbaum, Senior Vice President and Chief Operating Officer; and Mark Humphrey, Senior Vice President and Chief Financial Officer. I'll now turn the call over to Larry.
Lawrence Silber: Thank you, Leslie, and good morning, everyone. It goes without saying that the performance of our business is a direct reflection of the efforts of the members of Team Her who come to work each and every day striving to improve our customers' experience. In 2024, Herc employees' hard work translated into record level results across both key financial metrics and our growth strategies, and I couldn't be prouder of the team. Let me first give you an update on our growth strategy, starting on Slide #4. 2024 was a year of Agile growth effective collaboration and delivery of exceptional value to our customers and our shareholders. Over the past year, strong execution against our strategies further bolstered our scale, resiliency and long-term opportunities. We opened 23 greenfield branches in 2024 and through 9 acquisitions, we added 28 more locations. Together, these will drive market share and revenue efficiencies in key metropolitan areas in line with our urban market growth strategy. In addition to desirable locations, the acquisitions bring complementary fleet categories, valuable new team members with a strong cultural fit and new local account density while reinforcing our national account capabilities. When it comes to fleet mix in 2024, we increased our specialty fleet CapEx to be able to cross-sell our expert solutions to acquire GenRent customers in order to capture share of wallet opportunities and to support the incremental demand for mega projects. We also increased investments in systems and technology delivering more value to our customers and in concert with our continuous improvement E3 OS initiative achieved operating productivity improvements, logistics and fleet efficiencies and of course, pricing optimization. These contributions to our long-term strategies paid off in the short term last year when interest rate sensitive end markets began slowing early in the second quarter. The strategic investments process improvements and enterprise-wide cost management enabled us to successfully navigate this dynamic operating cycle, just that as they are intended to do. Now moving to Slide 5. This is our 2024 financial scorecard, which includes the Cinelease business. Last year's performance really emphasized the advantages of Herc's mega project participation. Our customer project and geographic diversity, our specialty equipment and services, strategic acquisitions and, of course, our cost discipline. For the full year, equipment rental revenue was up just over 11%, outpacing fleet growth for greater asset efficiency year-over-year. Net income for the full year of $7.40 per diluted share included an adjustment to the fair market value of our Cinelease business, which is currently an asset held for sale. The change in the value of this asset results from the slower-than-anticipated recovery of the studio entertainment industry after 2 years of crippling labor strikes. Our analysis of the current market valuation was based on recent offers we received through the ongoing process. On an adjusted EPS basis, was $12.88 per share, up about 5% over last year. Adjusted EBITDA margin increased over 2023 on a strong national account and specialty sales growth and an improving revenue comp for Cinelease and higher proceeds year-over-year from our favorable shift in used equipment sales channels. These drivers offset the impact from the softer local markets and the typical drag from new acquisitions in Greenfields. Ultimately, as these new locations mature, they drive scale efficiencies, making them a key component of our long-term profitability plan. ROIC is also being impacted by near-term inefficiencies from the new locations, which will improve over time. Mark will walk you through the year-over-year comparison in detail in just a few minutes. Looking ahead to 2025, let's jump to Slide #6 to share some thoughts. First, I'm proud to tell you that the team Herc celebrates its 60th anniversary this year. Our journey has been defined by innovation, collaboration and a commitment to excellence as we've evolved to meet the ever-changing demands of the industry. We're proud of the impact we've made for our customers and are excited about the opportunities that lie ahead for continuing this legacy of service and success in the years to come. As you know, over the last 8 years, we've put a lot of work into positioning our company for resiliency, which is important in a dynamic market. The diversified nature of our business today reduces our dependency on a single vertical or product type and allow the upside opportunities from any demand shifts to end markets or geographies. For 2025, we're seeing continued strength it signals for mega projects in LNG, data centers, semiconductors, along with strength in health care, education and infrastructure. new projects together with increasing demand for specialty solutions, the special contribution from industrial and commercial maintenance projects, the full year revenue benefits of our recent acquisitions and the ramp-up of mega project starts from the back half of 2024 should more than offset the persistent weakness in interest rate sensitive local markets and allow us to outpace overall industry rental revenue growth again this year. When it comes to network expansion, this year, we want to elevate our support of recent acquisitions in greenfields as they work towards their full margin potential in a challenging local environment. At the same time, we'll continue our strategy to build density in the top 100 geographic markets through greenfield and strategic acquisitions. Our balance sheet is strong, and our leverage ratio is well within our target range. So as opportunities present themselves that fit our criteria, will selectively move forward to expand our presence in the top 100 North American markets. For margin and fleet CapEx, as always, we'll manage our costs and assets carefully while continuing to support the growth of our business. Now Aaron will talk a little bit more about our operating trends, and then Mark will take you through the fourth quarter business performance and more specific puts and takes that support our full year guidance range. Aaron?
Aaron Birnbaum: Thanks, Larry, and good morning, everyone. We finished last year with another strong quarter of market outperformance and achieved new fourth quarter records for revenue and adjusted EBITDA. We I want to thank our team for the tremendous efforts through the quarter and the year. Primary emergency response events to managing the variability in the demand environment, they work together to minimize the impact on our customers and our company and they hit all of this while managing costs and building a safer work environment for our employees, customers and the communities we operate in. Safety is at the core of everything we do. As you can see on Slide 8, our major internal safety program focuses on perfect days, and we strive for 100% perfect days throughout the organization. In 2024, on a branch-by-branch measurement, all of our operations achieved at least 98% of days as perfect. Equally notable, our total recordable incident rate remains better than the industry's benchmark of 1.0. And reflecting our high standards and commitment to the safety of our people and our customers. On Slide 9, as Larry mentioned, we are making great progress on our urban market growth strategy. by expanding through greenfield locations and acquisitions in the top 100 metropolitan markets. In the fourth quarter, we opened 7 Greenfield locations, bringing our total over the last 12 months to 23 and which is about a 10% increase over 2023. We also made our final acquisition of the year, adding 2 more locations to our branch network in Louisiana, which is an area that's seeing robust growth in industrial construction. This acquisition brings our total in 2024 to 9 transactions in 28 new locations, serving commercial and industrial customers in the most populated areas of the U.S. Roughly 10% of the new locations are specialty branches. As you've seen in the past 5 years, we've been extremely active in market consolidation, strategically investing more than $2 billion in general rental and specialty equipment companies in key geographies to strengthen our existing market position. We focus on acquisition opportunities in high-growth markets that complement our current branch network and fit our strategic, financial and cultural filters. Since late 2020, when we initiated this strategy, we've added 51 businesses with 115 locations into the Herc network. Over the same period, we opened approximately 80 greenfield locations. This has allowed us to capture market share, elevate our national account capabilities and enhance our revenue mix through specialty cross-selling in a period of extremely rapid growth. We will elevate new opportunities for continued network and product line expansion this year and pursue those with the best strategic fit. Also, we are -- also as we progress through 2025, we're going to increase our focus on supporting our recent acquisitions. Acquisitions in Greenfields take about 24 to 36 months to get fully accretive to our branch operating margin. So elevating our focus on capturing the cross-selling and fleet productivity synergies from the acquisitions completed over the last 24 months should help accelerate that time line to maximize value. Acquisitions in Greenfields are just part of our diverse portfolio of opportunities for growth. On Slide 10, you can see that we continue to grow our core and specialty fleet through new equipment investments. Our fleet composition at OEC is on the right side of the page. Total fleet is now a record $7 billion as of December 31, 2024. When you exclude the Cinelease assets, our base fleet is about $6.7 billion, and our higher-margin specialty fleet would be about 20% of the total, with plenty of room to continue to grow. When it comes to fleet management, last year, we spent roughly 12% less on new fleet than in 2023. We prioritized fleet efficiency, repositioning equipment from softer local markets to more robust geographies to optimize existing fleet. And then with demand dynamics in flux, we layered in growth fleet as needed for mega projects, new acquisitions, Greenfields and specialty growth. We also disposed of 11% less fleet on an OEC basis in keeping with our plan for a more normal seasonal cadence of dispositions last year. Our team did a phenomenal job making sure we had the right fleet in the right place at the right time successfully balancing the timing and location of mega project activities with the plateauing of local market growth. For 2025, our primary goal is to further optimize our equipment as we increase productivity of acquired fleet and benefit from last year's fleet repositioning. We're planning for gross fleet expenditures of $700 million to $900 million, a little more weighted to specialty than last year and with a focus on supporting our mega project pipeline. When it comes to dispositions, we'll continue to actively shift sales into the higher-return retail and wholesale channels, helping to level set values in a normalizing used equipment market. Turning to Slide 11. We are successfully addressing the needs of both local contractors and large national accounts, continuing to target a 60-40 revenue split long term as this diversification provides for growth and resiliency. Local accounts represented 54% of rental revenue in the fourth quarter and 55% for the full year. Despite the slowdown in local project starts as interest rates remain elevated, we are expanding through share gains from acquisitions and greenfield locations as well as organic growth in select regions where infrastructure, education, local utilities and facility maintenance and repair projects are underway. On the national account side, government and private funding for new large and mega projects is still quite robust. We continue to win our targeted 10% to 15% share of the project opportunities with several new mega projects on deck this year and the 2024 project still ramping up. Turning to Slide 12. These mega projects continue to represent incremental new opportunities for us as our specialty offering, expanded market coverage, technology advancements, service and logistics expertise and big project solution-based capabilities distinguishes us as a top 3 provider across end market verticals. We expect to continue to win an outsized share of the mega project activity again in 2025. With that, I'll pass the call on to Mark.
Mark Humphrey: Thanks, Aaron, and good morning, everyone. I'm starting on Slide 14 with a summary of our key metrics for the fourth quarter. For clarification, these are our GAAP results that include Canales, which as has been discussed, is classified as assets held for sale. I'll just make a couple of quick points here before turning the focus to the core results. In the fourth quarter, rental revenue increased 12.2% and adjusted EBITDA increased 14.7% to a record $438 million. Larry already talked you through the net loss we incurred in the quarter related to Cinelease. You can also review the disclosure in Footnote of our Form 10-K. Let's move to Slide 15. Here, we outline our core financial results, which exclude Cinelease from both periods in order to give you a better sense of how the base business performed in the quarter. A full reconciliation of quarterly performance metrics can be found on Slides 26 and 27 in the appendix of our presentation. For the fourth quarter, equipment rental revenue was up 11.5% year-over-year. Based on benchmark data, Herc volume continued to significantly outpace overall rental market growth on both an organic and total rental revenue basis. Mega projects led the national account business to double-digit rental revenue growth in line with our expectations, while our local rental business grew as a result of contributions from recent acquisitions as well as organic growth from health care, education, municipal and MRO projects and cross-selling specialty solutions. Contributions from the hurricanes in Florida and North Carolina or less than the historical average as a result of the smaller size of the markets affected. Pricing in the second quarter -- the pricing in the quarter was 2.1% higher year-over-year. For the full year, rate was up 3.2% over 2023 with fleet efficiency initiatives, advanced pricing tools and an improved mix of fleet on rent supporting positive rental rate all year. Acquisitions and the slower local market weighed on fleet efficiency and dollar utilization in the shoulder season. However, organic fleet efficiency was positive overall in 2024. We Net income for both the fourth quarter and full year was impacted by higher interest expense related to increased borrowings to fund acquisitions and invest in rental equipment and higher nonrental amortization expense associated with acquisition intangibles in addition to the loss on assets held for sale. Partially offsetting these impacts was operating leverage gained in our SG&A from our cost discipline as revenues expanded. EBITDA during the fourth quarter was a record and margin was strong at nearly 49%. REBITDA flow-through has improved on a sequential quarterly basis since the second quarter and reached the 2024 High Point in the fourth quarter at 45%. EBITDA flow-through improved 1,200 basis points in the second half of the year compared with the first half. benefiting from the work done on enterprise-wide cost management to catch up with the changing dynamics in the marketplace. Trailing 12-month ROIC for the core business declined 120 basis points to 10.1% at the end of 2024. The variance year-over-year relates to the impact from the local market slowdown and inefficiencies associated with new acquisitions in Greenfields. Over time, the maturation of newer locations, greater fleet efficiency from our prudent onboarding of new fleets and the recovery in the local market will drive ROIC improvement. Now let's turn to Slide 16, and I'll walk you through the rental revenue and adjusted EBITDA bridges from fourth quarter 2023 to fourth quarter 2024 to give you a visual reconciliation. In the revenue chart, the roughly 12% increase year-over-year was made up of 2.1% increase in rate and an 11.6% increase in OEC fleet on rent. Mix was an offset of 2.2%, reflecting the net of higher equipment inflation and a more favorable mix of equipment on rent. For clarification, when it comes to revenue, fleet inflation is in the mix to adjust the volume measured at OEC dollars to a unit metric. Of the top line growth in the quarter, 6.5 points came from organic rental revenue and 5 points came from 2024 acquisitions. For the full year of the 10% rental revenue growth, the contributing split was roughly 7 points of organic growth and 3 points from 2024 acquisitions. Adjusted EBITDA increased 13.2% compared with last year's fourth quarter, benefiting from the higher overall rental revenue. And we effectively maintained adjusted EBITDA margin, which benefited from favorable direct operating and SG&A expense management, but was impacted by the slowing local market, less efficient new acquisitions and Greenfields as well as lower proceeds on OEC fleet disposals in the fourth quarter. Shifting to capital management on Slide 17. You can see we have no near-term maturities and ample liquidity to fund our growth goals as we continue to allocate capital to invest in our business through the cycle. Higher operating cash flow and disciplined net capital expenditures resulted in $314 million of free cash flow in 2024. We remain confident in our business model and are committed to increasing shareholder value. In the fourth quarter, we declared a quarterly dividend of $0.665 which represents $2.66 per share for the year. And last week, we announced a 5% increase our annual dividend to $2.80 per share. On Slide 18 is a snapshot highlighting the continued strength in our primary end markets. Taking a look at the updated industrial spending forecast at the top left, Industrial Info Resources is projecting 2025 to be another strong year of capital and maintenance spending at $446 billion. Dodge's forecast for nonresidential construction starts in 2025 are estimated to increase 8% to $482 billion. Additionally, there's another $357 billion in infrastructure projects forecasted for 2025. That's an 8% increase over 2024. The dotted line in these charts reflects growth over pre-pandemic peak levels. You can see that this year and the next 3 years are projected to be some of the strongest periods of activity that this industry has seen. We've also included a trend chart for mega project starts in the upper right quadrant. This gives you a snapshot of the year-to-year growth of the largest construction projects in North America over the last 2 years and for 2025. The chart shows the continued substantial number of mega projects launching this year. We project we're only in the early to middle innings of the multiyear opportunity depending on the project type, whether it's infrastructure, LNG, data centers, et cetera. And as we stated, our goal is to capture 10% to 15% of these opportunities. We don't take the chart out beyond this year because visibility is less clear for actual start dates of those projects still in the planning phases, but there is nearly $2 trillion more in the pipeline. Of course, there are some overlap in projects from these 4 data sets, but no matter how you look at it for companies with the capabilities, technologies and product breadth to service customers at the national account level, the opportunities for growth are significant. If you flip to Slide 19, you can see our 2025 guidance, which highlights our plan to continue to outpace market growth again this year. As noted, our guidance excludes the performance of Cinelease. Starting with gross fleet CapEx, our plan is to invest roughly $800 million at the midpoint of the range, reflecting the normal replacement of aged equipment continued improvement in fleet efficiency, including digesting the 2024 acquisition fleet and incremental demand opportunities for mega projects and new Greenfield locations. Expenditures will be weighted a bit more towards specialty equipment versus last year. Net CapEx is estimated to be between $400 million and $600 million. Our fleet plan is aligned with rental revenue growth of 4% to 6%, and where a relatively flat local market is more than offset by the annualization of acquisitions in Greenfields completed in the second half of last year as well as contributions from specialty cross-selling, new greenfield locations new mega project starts and the ramp-up of existing large projects. Our guide also assumes continued positive rental rate year-over-year as we work against inflation headwinds. Our focus on fleet efficiency and the strategic use of proprietary pricing systems and optimization tools enables us to capture the best, most appropriate price in every transaction. I'll note here that in 2025, we're no longer going to report specific rental rate metrics. This approach is consistent with industry practice. We've had a lot of internal feedback that our disclosures put us at a competitive disadvantage in the market. So our pricing updates going forward will be more directional than the precise metrics we've shared in the past. Benefiting from operating leverage, we estimate adjusted EBITDA will be between $1.75 billion and $1.65 billion, representing another year of profitable growth ranging from 1% to 6%. Overall, the strong demand we're experiencing across the manufacturing, industrial and infrastructure markets, along with the stability that comes from industrial and commercial maintenance projects provides plenty of opportunity to continue to grow even through the slower phase of the cycle. We intend to continue to deliver strong financial metrics as we invest in and execute on our proven strategies to support the long-term growth of our business. With that, operator, we'll take our first question.
Operator: [Operator Instructions]. Your first question comes from the line of Rob Wertheimer from Melius Research.
Rob Wertheimer: My question is going to be on the revenue -- rental revenue outlook versus EBITDA, look, where you got a midpoint of 5%, I guess, on the rental revenue and a little bit lower on EBITDA -- and then with fleet inflation, I guess, the operating come or whatever would be a little bit lower than that. So is there any abnormal pressure on the EBITDA that leads you to guide that midpoint below? And could you talk through the pluses and minus of there?
Mark Humphrey: Rob, it's Mark. I think we're guiding to 4% to 6% on the equipment rental line. But really, we're projecting that disposals will be at each last year's level. So that's implying that your total revenue is growing a bit slower than your equipment rental revenue. And then in that sort of forecasting sort of defending REBITDA margin, if you will, sort of across the board so the only component left is the expectations around used equipment and how we'll handle that. And so there's a range in there. The last couple of years, it's been 44, 45 so I think if you just range that and math, that's probably running from 42 to 45 to sort of get you to year-end result there from an adjusted EBITDA growth perspective.
Rob Wertheimer: Got it. And then I understand the -- especially, I guess, with H&E the pricing disclosure is going away. In general, do you think that you and the industry are still able to capture equipment inflation? How many more years do you need to run higher than 10 years ago, higher than 5 years ago, rental rate in order to offset that higher depreciation expense. I'll stop there.
Mark Humphrey: Yes. No, it's a great question, Rob. I think from my perspective and our perspective, right, we don't look at inflation versus price on a one-year basis, right? Sort of thinking about the fleet that we're buying over its life cycle of 7 to 8 years, really, over the last 4 years, right, 21 to present has really been where we've experienced the majority of this inflation in our gear. And so if you evaluate sort of the pricing lift to that inflation that we've received over that period of time, we've actually offset that inflation to date. So again, it's much more of a longer-term view. And then obviously, from an overall P&L perspective, we want to be able to sort of offset the inflation that's inside of the P&L with a pricing lift, and that's our go get.
Operator: Our next question comes from the line of Jerry Revich from Goldman Sachs.
Unidentified Analyst: This is Clay on for Jerry. Quick question for me. What are your expectations for run rate as we move sequentially into 1Q? And then what does guidance contemplate versus 2025?
Mark Humphrey: Yes. I mean, I think, as we just said, we're going to be less directional from a pricing perspective going forward, the expectation that's built in is positive price for 2025, but we're not going to get pointed there with those answers.
Unidentified Analyst: Got it. And then as a quick follow-up, can you have data such on the M&A pipeline, particularly as it relates to specialty rental? I know you talked about more especially rental in the growth CapEx. Just curious on the M&A pipeline front.
Lawrence Silber: Yes. Look, we have a robust process around M&A. The pipeline continues to be prevalent. We take a very measured look at all types of opportunities to make sure it has a cultural fit, as well as a geographical fit. So we'll continue to evaluate that pipeline. And as you know, M&A is opportunistic. But we are prepared to participate in market and continued market consolidation.
Operator: Your next question comes from the line of Tami Zakaria from JP Morgan.
Tami Zakaria: My first question is more strategic. So One of your larger peers is planning to buy one of your smaller competitors. I'm curious, what are your thoughts? How do you overlap with H&A in some of the big key states? And what would be your strategy to protect or gain share in those markets once that folded into URI? Any thoughts on that?
Lawrence Silber: Look, we really don't comment on specific deals that happened in the industry. We let those play out. But overall, we think consolidation is a good thing. It typically results in a more stable industry, which is an important part of our long-term strategy.
Tami Zakaria: Got it. That's helpful. And then one question on specialty versus general rent. The rental revenue guide 4% to 6% for the year. Any directional comments on how you're thinking about specialty growth versus gen rent in there?
Mark Humphrey: Yes. I mean I think we said in the prepared remarks that the specialty buy will be a little bit more weighted this year to gen rent just given the needs that we see from our customers. I think when you sort of roll that through to the overall mix of the fleet, it's not meaningful. And so I think at the end of the day, we'll continue to sort of pursue those specialty opportunities and buy as needed. But the buy as we've printed it is a bit more specialty weighted.
Operator: Your next question comes from the line of Steven Ramsey from Thompson Research Group.
Steven Ramsey: Maybe to continue the specialty line of thought. Can you even order of magnitude talk to the specialty rental revenue growth experienced more recently and embedded in 2024 overall, how that specialty revenue trends directionally to your larger peers?
Aaron Birnbaum: Well, in our case, for 2024, especially was a stronger growth profile than our core business. We also began to invest in other specialty lines such as trench with a series of acquisitions and some Greenfields. And that will continue to build into 2025, but we don't comment on our peers and how they illustrate their specialty diversions.
Steven Ramsey: Okay. That's fair. And then revenue from national customers in the second half showed really strong growth, looks like near 20% year-over-year. How much does that reflect mega projects ramping? And is that kind of growth level that you saw in the second half is that what is expected in 2025. Maybe you can dovetail with just the general trend of mega projects ramping and how that's impacting your business?
Aaron Birnbaum: Yes. Long term, as we mentioned, Steve, we want a 60-40 split local to national accounts. But in this environment, as we said, and you've heard you're familiar, the local markets have been slowing. So more of our opportunities have been in the national account side, specifically in the mega project side. And we'd envision that 2025, the visibility we have right now will be a lot like 24 in that case. So that's how we view how we're going long term to 60-40, but 2024 was a little bit not completely in that 60-40 line just because of the market fundamentals.
Mark Humphrey: And Stephen, maybe I would just add on to that, that I think we stated throughout 2024 that we thought that the mega projects were going to be back half loaded into 2024, which is really what you're referencing and seeing there. I think as we look out to 2025, I think that cadence becomes a bit more normalized. So you're not going to have a big blip or our expectation, what we see now is sort of a normalized cadence of growth from the Mega as we walk through 2025.
Operator: Our next question comes from the line of Neil Tyler from Redburn Atlantic.
Neil Tyler: A couple of questions, please. Firstly, on the CapEx outlook, really more specifically, free cash flow generation. You've talked obviously referred to the opportunities around M&A. One of your peers was mentioning that the multiples for deals hadn't yet reflected the softening market, and I just wondered what you are seeing in terms of assets available for purchase and whether there are -- there is some realism in the in the prices that are being asked for those? And I guess, even with that in mind, it looks like back of the envelope, you should be able to generate north of $700 million free cash flow plus potentially some proceeds from single lease as that comes through. Given that M&A landscape, do you see opportunity to deploy sort of most of that?
Lawrence Silber: Yes. Look, I don't think we're giving a CapEx budget around M&A as we have in the past. But we'll continue to look for consolidation opportunities. We believe consolidation is good for the industry and certainly something that we'll participate in. But as you know, M&A is opportunistic and we'll have to evaluate that as time goes on. As far as multiples, to date, we haven't seen the multiples on gen rent expand that much. They're certainly the ones that we've looked at recently. But I would expect, as our multiples expand, that's could be likely and -- but we'll have to evaluate that. Certainly, the multiples on specialty rental will be a bit higher. And as those opportunities come along we'll evaluate that for fit and mix and future growth opportunities around it.
Mark Humphrey: And Neil, maybe just one other point of clarification. I think that from a free cash flow for 2025, our anticipation, at least as it stands now, no change to legislation will be a Fed cash taxpayer for the first time. And that's a build north of $100 million. And so that needs to be baked into your model as well from a free cash flow perspective.
Neil Tyler: Got it. Okay. That's helpful. And I guess the follow-up, just kind of modeling question, really, it looks as though in terms of sort of average OEC that's going to be very limited growth in value terms, perhaps even a contraction in volume terms. So the guide on rental revenue looks like you've got some scope to improve efficiency by, what, 200, 300 basis points perhaps. Is that the way you're thinking about that? If you got headroom in the fleet to be able to push utilization up by that sort of amount.
Mark Humphrey: Moving utilization 200 to 300 basis points is a gargantuan ask. I guess I would say to you, Neil, that it is always our intent to make our fleet more efficient and certainly, some of that is embedded in the guide.
Operator: Next question comes from the line of Mig Dobre from Baird.
Mig Dobre: I want to ask a quick question about California. I know you have pretty sizable exposure in that state. If I'm not mistaken, more than 15% of your branch locations are in California. So what are you seeing in the wake of these fires in Los Angeles? What sort of exposure do you have to that? Maybe what's embedded into your guidance and how do you think about that reconstruction effort eventually contributing to your business maybe in '26,'27?
Aaron Birnbaum: Nothing special is in the guidance from the fires in California. It's probably going to be a slow go -- the initial response was like a lot of other disaster responses. We deployed assets. We took care of the customers that needed equipment to handle the emergency response. And at the moment, I think we're all just paying attention to see what kind of funding comes into those areas so they can rebuild. But nothing that's, as I said at the beginning, that's like we embedded in our guidance.
Mark Humphrey: And I think maybe one other point there is that none of our branches were damaged or impacted by the fires as well.
Mig Dobre: That's good to hear. It seemed like it was mostly residential that was impacted. I don't know if that ends on the business for you down the line. Okay. Then my -- the follow-up is -- in terms of the key end margin, what percentage of that you sort of have a right to win with your services and the products that you're offering?
Aaron Birnbaum: Well, I'll take the second part of your question first. On the data centers, it's probably accurate. We use like a metric the size of the project, how much the project cost, how much of it will go into the rental opportunity and on a data center because there's so much technology and the computers in place, it might be a little bit less than what we use for the rest of our business. On the first part of your question, was it related to how the change in mega projects '25 versus '24, what the opportunities are?
Mig Dobre: Yes. I mean, just mathematically, if we look at nonres in infrastructure, these combined for your -- for the projections in here, the spend is going to grow $63 billion. But then you call out mega project starts growing $242 billion in 2025. So obviously, there's something in these mega projects that is not captured in nonresi infrastructure. And I was just looking for a little more context around that.
Aaron Birnbaum: I mean, I think the best way I can answer that is the mega projects are -- some of them are privately funded and -- or public piece on most of them, majority are privately funded. And there's really not a correlation between nonres and the mega activity, as far as falling into the data sets, like in the Dodge area, I think maybe you're going after there maybe some crossover, but we find that a lot of the big private megaprojects don't show up in traditional Dodge non-res data that we're getting.
Operator: Your next question comes from the line of Kenneth Newman from KeyBanc Capital Markets.
Kenneth Newman: Mark or Aaron, maybe just for my first question, I'm curious if you could just help us think about the expectations or the cadence of core dollar [indiscernible] for this year. I know we were down 60 basis points here in 2024. Fourth quarter was a little bit weaker. I think it was down 80 basis points. Do you think core dollar [indiscernible] hope for the fleet can be flat or up in 2025?
Mark Humphrey: Yes. I mean I think it's all sort of -- it's a great question, Ken. I mean, I think that's -- the goal is to sort of hold on to that dollar you manage the fleet mix in a bit more specialty into 2025. I think obviously, the overall marketplace, the slowing nature of the local markets certainly weighed on dollar utilization in 2024, and that's our challenge in 2025 is to manage the fleet as efficiently as we can to hold on to that dollar [indiscernible].
Kenneth Newman: Okay. And then kind of leads in to my follow-up here. Obviously, you are taking a bit more of a disciplined approach to the fleet growth this year. I'm assuming that's primarily due to the industry being overfleeted, especially on the local side. One, I'm curious, do you agree with that? And two, if so, when do you think the industry reaches equilibrium from a supply perspective?
Lawrence Silber: Yes. Look, we don't really view the industry as being overfleeted, quite frankly. We think it's been quite disciplined. I think what you're sort of seeing in the local market is really just the slowdown of the new starts and the new activity in the local market. But I think we've seen discipline in disposals. We've seen discipline in rates. So I don't think there's an overfleeting going on. And I think the OEMs have responded accordingly as well. And I think you'll see that from some of their forecasts as they report earnings.
Mark Humphrey: And Ken, maybe just another point. I think I would say that we took a fairly disciplined approach in 2024 as well. And I think as we're rolling into 2025, we mentioned there was a significant back end of fleet acquired through M&A. And so trying to look at this through the lens of fleet efficiency, right? We need to digest that fleet at some level and then respond to the opportunities that are in front of us. And I think that the fleet guide that we've laid out here is essentially what we see as we look forward into 2025.
Operator: Your next question comes from the line of Sherif El Sabbahy from Bank of America Merrill Lynch.
Sherif El-Sabbahy: I just wanted to ask on the cash flow. You guided is positive for the year, gave us some color on the moving parts in cash from ops. Could you maybe frame your free cash flow outlook in terms of what free cash flow scenario from investor at your Investor Day, you think might be most relevant?
Mark Humphrey: I think it's -- I forget what page it Sherif, maybe from the deck. It would be falling into that frame, right, where we were sort of a more moderated rev growth scenario with fleet and that sort of net area of that $400 million to $600 million, I think, is how that laid out there. So I think that's a reasonable place to run. And then again, just highlighting the fact that at this point in time, we are expecting to be a Fed cash taxpayer as well.
Operator: Your next question comes from the line of Brian Sponheimer from Gabelli Funds.
Brian Sponheimer: Mark, you mentioned, obviously, you're going to be a cash taxpayer. We have a new administration that's going to be coming out with the tax plan what would be on that wish list for items that either are brought back from either a bonus depreciation standpoint, like kind exchange, et cetera, that.
Mark Humphrey: It's really, Brian, I mean, that wish list is probably very long. But I think it's bonus depreciation first and foremost. But the administration to this point, right, is sort of focused on the individual taxpayer much more so than the corporate. And so I think as it sits here today and what we know is sort of what we've tried to forecast and project into 2025.
Brian Sponheimer: Along those lines, given that the election is behind us, any change in local quoting activity just on clarity or just the visibility, just remains a little too murky?
Lawrence Silber: Yes. No, you're spot on, Brian. I think we're still -- relative to the local market, I think we're going to -- it's going to require some rate cuts from the Fed before that activity ramps up or at least gets to the point where folks are willing to make investments in those type of projects. So I think it's not that it's murky, it's just not there. And until we see the Fed take action, I think there'll be a continued resistance to initiating those type of projects.
Operator: And that concludes our Q&A session. I will now turn the call over to Leslie Hunziker for closing remarks.
Leslie Hunziker: Thank you for joining us on the call today. We look forward to updating you on our progress in the quarters to come. Of course, if you have any questions, please don't hesitate to reach out to us. Have a great day.